Operator: Hello everyone and welcome to the ICE Fourth Quarter 2023 Earnings Conference Call and Webcast. My name is Charlie, and I will be coordinating the call today. You’ll have the opportunity to ask your question at the end of the presentation. [Operator Instructions] I will now hand you over to our host, Katia Gonzalez, Manager of Investor Relations to begin. Katia, please go ahead.
Katia Gonzalez: Good morning. ICE's fourth quarter 2023 earnings release and presentation can be found in the Investors section of the ice.com. These items will be archived and our call will be available for replay. Today's call may contain forward-looking statements. These statements, which we undertake no obligation to update, represent our current judgment and are subject to risks, assumptions and uncertainties. For a description of the risks that could cause our results to differ materially from those described in forward-looking statements, please refer to our 2023 Form 10-K and other filings with the SEC. In our earnings supplement, we refer to certain non-GAAP measures. We believe our non-GAAP measures are more reflective of our cash operations and core business performance. You'll find a reconciliation to the equivalent GAAP terms in our earnings materials. When used on this call, net revenue refers to revenue net of transaction-based expenses and adjusted earnings refers to adjusted diluted earnings per share. Throughout this presentation, unless otherwise indicated, references to revenue growth are on a constant currency basis. Please see the explanatory notes on the second page of the earnings supplement for additional details regarding the definition of certain items. With us on the call today are Jeff Sprecher, Chair and CEO; Warren Gardiner, Chief Financial Officer; Ben Jackson, President; and Lynn Martin, President of NYSE. I'll now turn the call over to Warren.
Warren Gardiner: Thanks, Katia. Good morning, everyone, and thank you for joining us today. I'll begin on Slide 4 with a summary of our strong fourth quarter and some key highlights from our record 2023 results. Fourth quarter net revenues totaled a record $2.2 billion and pro forma for the acquisition of Black Knight increased 7% versus last year.  For the full year, revenues totaled a record $8 billion and on a pro forma basis increased by 4% year-over-year. Fourth quarter adjusted operating expenses totaled $952 million, $3 million below the low end of our original guidance range driven by lower compensation expense and acceleration of expense synergies. This strong performance helped to drive fourth quarter earnings per share of $1.33, up 6% year-over-year and record full year adjusted EPS of $5.62, also up 6% versus 2022.  2023 free cash flow totaled a record $3.2 billion enabling us to return nearly $1 billion to shareholders through dividends, while also continuing to make strategic investments to reserve September acquisition of Black Knight. These strong cash flows, as well as the full divestment of Black Knight’s stake in Dunn & Bradstreet enabled us to reduce debt outstanding by roughly $700 million in the fourth quarter and by $1.4 billion since we closed on our acquisition in early September. As a result, adjusted leverage ended the year at approximately 4.1 times pro forma EBITDA.  Now let’s move to Slide 5 where I’ll provide an overview of the performance of our Exchange segment. Fourth quarter net revenues totaled a record $1.1 billion, up 14% year-over-year. Transaction revenues of $781 million were up 22% in part driven by a 31% increase in our interest rate business and record energy revenues which grew 46% year-over-year.  This strong performance included a 41% increase in our oil complex, 66% growth in global natural gas revenues, driven by another record-setting quarter for TTF and 23% growth in our environmental business.  In addition, January set the tone for what we expect will be another strong year evidenced by robust levels of total open interest in January, up 20% year-over-year including 22% growth in global energy and 23% growth in Ags, as well as record average daily volumes across commodities, energy and total options.  Shifting to recurring revenues, which include our Exchange Data Services and our NYSE listings business, revenues totaled $355 million in the fourth quarter. Similar to last quarter, growth in the number of customers consuming our global energy and environmental data was partially offset by the rolling off of initial listing fees related to the strong IPO market in 2021.  It’s worth noting that despite a slower year for IPOs across the globe, the NYSE led the industry in transfers for a second straight year including a total of 32 transfers from other exchanges.  Looking to 2024, we expect recurring revenues in our Exchange segment to grow in the low-single-digits driven by continued strong growth in futures exchange data, somewhat offset by growth in our listings business with pressure on initial listing fees abating in the second quarter.  Turning now to Slide 6, I’ll discuss our Fixed Income and Data Services segment. Fourth quarter revenues totaled a record $563 million, up 4% versus a year ago including transaction revenue of $116 million.  For the full year, transaction revenues increased 19%, in part driven by23% growth at ICE bonds which since our acquisition of BondPoint and TMC has grown at a CAGR of 11% driven by growing institutional adoption and higher interest rates.  Recurring revenues totaled a record $447 million and grew by 5% year-over-year in the fourth quarter. In our Fixed Income Data and Analytics business record fourth quarter revenues of $286 million increased by 4% an acceleration from 2% growth in the third quarter driven by pricing and reference data and a return to double-digit growth in our Index business.  Other data and network services grew 7% in the fourth quarter, driven by continued growth across our desktop fees and derivative analytics offerings. Within our desktops business, we continue to see strong demand from energy and environmental focused customers as well as continued robust growth in our ICE Chat offering.  In our Consolidated Fees business we continue to realize the benefits of past investments to enhance our platforms with a record 2023 contributing to the high single digit revenue CAGR over the last three years. Looking to 2024, we expect to have recurring revenues in our Fixed Income and Data Services business will grow in the mid-single-digit range as we expect the aforementioned trends across Fixed Income, Data and Analytics as well as Desktops and Fees to continue.  Please flip to Slide 7 where I will discuss the results in our Mortgage Technology segment. Please note that my comments on revenue growth are on a pro forma basis. ICE Mortgage Technology revenues totaled $502 million in the fourth quarter, slightly above the high end of our guidance range. The recurring revenues of $397 million are accounting for roughly 80% of total segment revenues.  In addition, on a pro forma basis, operating income increased 7% year-over-year. We had a strong finish to 2023 registering one of the best quarters for new product sales including 37 new Encompass clients and four new MSP clients. This strong finish capped off what was the best year since 2018 for Encompass and MSP sales. And while these sales will take time to implement and thus recognized related revenue there is clear momentum across the industry as customers seek technology and data solutions that drive greater transparency and workflow efficiencies.  Shifting to 2024 guidance, consistent with the near-term outlook provided on our Black Knight closing call in September, we expect total mortgage technology revenue growth on a pro forma basis to be in the low-single-digit to mid-single-digit range for the full year. The low end of our range assumes only a modest improvement in application and origination volumes, while the high end underwrites a more substantial improvement in the double-digit growth range.  It is worth noting that seasonality tends to benefit both the second and third quarters of each year relative to the first and fourth.  Recurring revenues for the year is expected to be roughly flat including a decline of roughly $5 million to $10 million in the first quarter relative to the fourth quarter. We expect recurring revenues to improve sequentially thereafter sales implement with the year-over-year growth reemerging in the second half. The sequential pressure and attrition that we expect in the first quarter is largely driven by two customers that were acquired, one of which was a completed back in 2021. Moving to Black Knight synergies, through the first months, five months post close, we have signed annualized revenue synergies of roughly $30 million or nearly a quarter of our $125 million five year target. It’s worth noting that these signings are not expected to have a material impact on our 2024 recurring revenues and will largely begin to be recognized in 2025 and thereafter.  Synergies have largely been driven by cross-sell success across our flagship Encompass and MSP platform, as well as in data and analytics.  Turning to expense synergies, we expect to realize approximately $135 million in annualized savings by the end of 2024, ahead of our original expectation of roughly $100 million by year end.  I’ll conclude my remarks on Slide 8 with some additional guidance. We expect 2024 adjusted operating expenses to be between $3.81 billion and $3.86 billion. Similar to prior years, we expect to continue to invest in our people, our technology, including the enhancement of MSP and various growth initiatives across our business. These investments are somewhat offset by expense synergies which I noted, are expected to reach approximately $135 million in runrate annualized savings by the year end 2024.  Moving below the line, we expect non-operating expense to be between $215 million and $220 million in the first quarter. And depending on the future path of short-term interest rates, these expenses should decline slightly in second quarters as we continue to pay down the outstanding commercial paper and term loan related to our Black Knight acquisitions.  We anticipate the full year tax rate to be in the range of 24% to 26%, up slightly from 2023 through the impacts of a full year higher UK taxes.  And finally, we expect full year CapEx to be in the range of $600 million to $650 million including approximately $100 million relating to Black Knight with the vast majority expected to be delivered – directed to various technology investments that Ben will detail shortly. And $100 million relating to the new office space in expansion and improvement across New York, London and Jacksonville. In summary, we delivered a very strong finish to another record year of revenues, operating income, free cash flow and earnings per share. We grew our dividend returning nearly $1 billion to our shareholders, while at the same time continued to invest across the business to meet the needs of our customers and expand our mortgage technology networks through the acquisition of Black Knight.  As we kick off 2024, we are focused on once again delivering growth and creating shareholder value. I’ll be happy to take your questions during Q&A, but for now hand it over to Ben. 
Benjamin Jackson: Thank you, Warren, and thank you, all for joining us this morning. Please turn to Slide 9. We are pleased to report another record year for ICE. Our strong 2023 results were in part driven by a dynamic macroeconomic environment. But more importantly, underpinning that performance, our long-term secular tailwinds that will continue to drive growth across asset classes in a variety of macroeconomic environments.  Across our energy markets, the depth and breadth of our global platform not only drove records across volumes and revenues in 2023, but it positions us well to capture secular tailwinds across our energy complex including the globalization of natural gas and the clean energy transition. In our oil markets, we’ve invested in building a global platform that positions us well to provide the critical price transparency across the energy spectrum that will help enable participants to navigate the clean energy transition.  Most recently, ICE’s Brent benchmark underwent its latest evolution with the addition of Midland WTI into the Brent basket. This latest evolution contributed to record Brent volumes in 2023, surpassing the record last set in 2021 and demonstrating that the market depends on its ability to reflect global fundamentals.  At the same time, our WTI contract reached record volumes and continues to gain share. In addition, as trade dynamics evolve and become increasingly complex, customers are not only seeking liquidity in the major global benchmarks but also in products that provide greater hedging precision. This trend is illustrated by the record trading activity in our other crude and refined products in 2023 with volumes up 35% year-over-year.  This strong performance has carried into 2024 with January ADV surpassing the record last set in March of 2020 and at the same time open interest is up 36%. In our natural gas markets, we’ve adopted a similar playbook building a global platform that expands benchmarks across North America, Europe and Asia. As energy supply chains evolve and globalize, the quality of our expansive range of benchmarks is evidence with our global gas business delivering record revenues in 2023 increasing 44% year-over-year.  This strong performance was led by record volumes and participation in our TTF benchmark contract which we have positioned as the branch of natural gas and plays a critical role in providing global natural gas price signals. A similar dynamic is playing out in our Asian JKM complex with volumes up 17% in 2023 and continued participation growth including our highest fourth quarter ever.  In addition, we continue to see robust open interest trends through January including record total gas open interest of nearly 38 million watts on January 25 surpassing the record set in 2012. This strength continues to underscore the significance of our contracts to the price formation of global natural gas.  We were also early to diversify into environmentals recognizing the importance of carbon price transparency over a decade ago. As we look out over the longer term, governments, corporates, and market participants remain committed to environmental policy to reduce carbon emissions. As such, valuing externalities such as placing a price on pollution, carbon-free electricity, as well as carbon sequestration, and storage will continue to increase an importance.  This is illustrated by continued growth in active market participants up double-digits in the fourth quarter. At the same time, 2023 marked another record year in our North American environmental markets, with volumes up 7% year-over-year. Importantly, because ICE has one of the largest networks of environmental products to value such externalities across the carbon cycle, this is a growth trend that we are uniquely positioned to capture.  In summary, the globalization of natural gas and the energy transition are trends that we began investing in over a decade ago and today, cleaner energy sources including global natural gas and environmentals make up over 40% of our energy revenues and have grown 17% on average over the past five years. This strong performance has contributed to an average annual revenue growth rate of 9% in our energy platform over that period including 28% growth in 2023.  With our Brent crude oil contract serving as the cornerstone of our energy network, we have expanded the range of contract that we offer to our customers. We have built and continued to enhance our global energy network that delivers comprehensive risk management solutions, provides capital efficiencies and is positioned to grow alongside the continued evolution of global markets, while providing the critical price transparency across the energy spectrum needed to navigate the energy transition.  This large suite of energy risk management tools, combined with our Ags portfolio, which saw record volumes in 2023 and it has consistent open interest records through January makes up our global commodity network of more than 1,000 products and services to help our customers manage risks around evolving supply chain issues, acts of nature and acts of men. Moving to our Fixed Income and Data Services business, market volatility, higher interest rates and secular trends such as the need for increased automation demand for flexible delivery solutions and growth in passive investing contributed to another year of record segment revenues in 2023, up 6% versus a year ago. This strength was once again driven by both transaction and recurring revenue growth, highlighting the strength of our all weather business model.  Higher interest rates and our continued efforts to build institutional connectivity across our platform drove another year of record revenues in our ICE bonds business, up 23% in 2023 and that performance was on top of a nearly 100% increase in 2022.  In addition, we continue to see returns on past investments we’ve made in our other data and network services business where revenues grew 7% in 2023. Within desktops, investments we’ve made to reduce friction across the workflow directly contributed to double-digit revenue growth in 2023.  In our consolidated feeds business past investments we've made to elevate and enhance our offering led to a number of wins driven by displacements of larger multi-asset class incumbents, a key driver of the high-single-digit growth in this area in 2023.  Finally, as we move forward, our enthusiasm is focused on continuing to expand and evolve the products and services which add transparency to both commonly understood risks as well as emerging risks that make up our fixed income and data services business. Our climate analytics for example, leveraged our strength in the fixed income market with third-party geospatial data to help market participants better manage climate risk, as part of their overall investing and risk management processes.  Turning now to our mortgage business, similar to the playbook we operate across our global energy and fixed income businesses, in mortgages we are leveraging market-leading technology, mission-critical data and our network expertise to build innovative solutions that drive workflow efficiencies. Our mortgage network expands from point of consumer acquisition all the way through to the secondary market providing a true life of loan offering that positions us to lead the transformation of an industry that is moving analogs to digital.  In this regard, we are pleased to share the closed 37 new Encompass clients in the fourth quarter and four new MSP clients contributing to a record for new sales on Encompass and the highest in the last five years for MSP and Encompass combined.  Building on the Encompass wins mentioned on the last call such as M&T Bank, we added Raymond James Bank for their retail and correspondent channels. We also brought back Carrington, a significant non-bank lender and servicer on to the Encompass platform from a third-party.  For MSP, building on the four wins we had in the fourth quarter, such as Fifth Third that was mentioned on the last call, we closed Capital Mortgage Solutions of Texas, and an existing Encompass client, CapEd Credit Union to start 2024. As we entered 2024, we remained focus on the successful integration of Black Knight in executing on our strategy of relieving the paint points and inefficiencies that exists across the mortgage workflow.  Importantly, our approach remains consistent with the blueprint we have applied across our other networks, one of investing behind secular growth, while enhancing the value proposition of our network. A near term opportunity to drive greater transparency and efficiency, includes integrating Black Knight datasets such as our closing fee data, tax, flood and valuation models into our Encompass and MSP systems. Another near term example is integrating our data and document automation platform into MSP, building a digital bridge from originations straight through to servicing reducing costs, time and errors to onboard loans to the MSP system.  A third example builds upon our lead providing compliance solutions fully integrated into every aspect of the mortgage origination process and moving towards servicing as well. At the same time a near term opportunity is our continued investment in our product and pricing engine further strengthening the mortgage ecosystem by providing additional options and greater efficiencies to lenders, servicers and partners.  In parallel to the near term opportunities just mentioned, we are executing on our investment commitments to continue to advance our market-leading SaaS-based MSP servicing platform, following a similar successful process that we execute against with other companies that we have acquired. Simultaneously, we see an opportunity to advance our digital document vault service that is offered for documents such as eNotes and to extend this as a golden record for other origination and servicing documents to help reduce duplication, improve quality and reduce cost for our customers.  In summary, we are pleased to see that the value of our solutions delivered by our comprehensive technology platform is resonating in the marketplace. The demand we are seeing across our platform gives us confidence that we can grow a business that at $2.1 billion in revenue today is only a fraction of the $14 billion addressable market that’s in the early days of analog to digital conversion.  With that, I’ll now turn the call over to Jeff. 
Jeffrey Sprecher: Thank you, Ben. Good morning, everyone, and thank you for joining us. Please turn to Slide 10. 2023 was a unique year for the energy markets. The year kicked off with a European ban on the import of Russian crude oil and a $60 Russian oil price cap imposed by the US, Japan, Canada and Australia, all driven by the Ukrainian conflict and a forced realignment of the global energy supply chain. In October, painful conflict with Israel erupted that is testing relationships within the energy producing Middle East and which caused the US house of representatives to send the bill to the US senate imposing further sanctions on Iranian oil.  In November, terrorists began attacking ships navigating the Red Sea, causing the world’s largest operators of crude oil tankers to modify their supply chain operations out of their region. And throughout 2023 OPEC+ met the set quotas to cut oil production attempting to drive oil prices higher for the benefit of Russia and Middle East producers.  With this complex geopolitical backdrop, it would be reasonable to assume that we ended 2023 with oil prices pushing towards record highs. Well, that’s not the case. Brent crude oil actually ended the year with prices lower than where the year started marking the first annual price decline since the COVID collapse.  Even the recent supply shocks in oil shipped from the Red Sea failed to rally oil prices for more than a day or two. When we acquired the former International Petroleum Exchange of London in the early 2000s its flagship product was a small futures contract on or then not well-known of oil called Brents. The Brent oil field consisted of four deepwater oil platforms built in the 1970s in the middle of the North Sea between Scotland and Norway.  The waters there are deep and the working environment is hostel. So pipelines were built to move the oil to the remote Shetland Islands where Brent was then loaded directly onto seaborne oil tankers. One of the early challenges that ICE faced trying to grow the trading volumes of this Brent futures contract on our newly acquired exchange was the substantial underlying issue that the Brent oilfields were drying up and oil production was deteriorating.  We began working with the oil industry and drove a consensus to allow other grades of oil from locations away from the Brent oilfields to make their way into a newly reconstituted ICE index which we continued to call Brent. Over time, we’ve evolved the index and we’ve added oil from fields of Forties, Oseberg Ekofisk, Troll and most recently, we added US Oil drilled in the Midland basis of West Texas.  The pipeline rail and trucking infrastructure serving the Midland basin drives a large portion of this US oil towards the Gulf of Mexico, where it becomes available for seaborne exports. And the US Oil drillers in this region have been very sensitive to global supply and demand price signals. Their market-based responses have caused their US oil exports to set the marginal price of the ICE Brent index roughly half the time since its latest reconstitution with other global oil grades setting the marginal price for the balance.  The Brent oilfield began decommissioning in 2006 and its first drilling platform seized production in 2011, followed by the second and third platforms stopping in 2014 and 2021. The fourth and final Brent platform has been repurposed to tap into another oilfield. So, today, it’s safe to say that there is no longer any Brent in ICE’s Brent index.  During our index evolution ICE marketed the value of the Brent index to the energy industry at the preferred way to hedge global energy prices. US oil exporters are now leveling out the prices for global crude oil and that’s reflected in the Brent index making the difficult geopolitical shock that I just highlighted less impactful on global oil prices.  The record volume that ICE sees in our Brent oil futures trading complex is a direct result of this focused evolution of our ICE Brent index. I tell this story as an example of how we think about the industries in which we operate. We invest in and constantly work with market participants to transform industries to reflect changing environments. We are following a similar roadmap with our entire energy complex given the analogous macro backdrop of industrialized economies that are attempting to move away from carbon-emitting fuels causing us to list over a 1,000 commodity contracts versus just four contracts when we acquired the IPE. You may have seen our recent announcement that ICE is working with the US Department of Energy to develop regional markets for hydrogen fuels as we continue to focus on medium to long-term cyclical trends and the next energy frontier. Similarly, by creating our ICE Data Services division nearly nine years ago, we spotted the trend that the single most important asset associated with automation was trusted, mission-critical data and digitized information.  We’ve invested in information acquisition, data dissemination and index construction and you are witnessing our data services division extending the same playbook that we ran on Brent to transform global benchmarks for financial products in areas such as credit and interest rates. And these are increasingly making their way on the platforms around the globe including our own in the form of valuations, reference data, cash markets, derivative markets, ETFs, options and equities.  Importantly, we are leaning into this blueprint to drive ICE’s most recent expansion with a goal to expand participation, facilitate information transparency and spot index creation in the US consumer interest rate markets as we move the industry with the SaaS model on a widely distributed network. A blueprint that captures proprietary data and information that we can organize and disseminate to help our customers make better financial decisions in a world where automation and generative models are key to enabling future efficient workflows.  In that vein and shifting to our strong results, 2023 marked our 18th consecutive year of record revenues, record operating income and record adjusted earnings per share, a record every year that we’ve been a public company. This record of growth reflects the quality of our strategy to diversify the business and position the company at the center of some of the largest industries undergoing analog to digital conversions, a strategy that’s made ICE an all weather name which through an array of macroeconomic environments continues to deliver consistent and compounding growth for our stockholders. As we look to 2024 and beyond, we are in a better position than ever to capitalize on secular and cyclical trends that occur across asset classes and we’ve remained focused on investing and executing on many growth opportunities in front of us.  I’d like to conclude these prepared remarks by thanking our customers for their business and for their trust in 2023 and I want to thank my colleagues for their contributions to the best year in our company’s history.  And with that, I’ll now turn the call back to our operator Charlie and we’ll conduct a question and answer session until 9:30 Eastern Time. 
Operator: [Operator Instructions] Our first question comes from Craig Siegenthaler of Bank of America. Craig, your line is open. Please go ahead. 
Craig Siegenthaler: Hey, good morning, everyone. We wanted a follow-up on the client attrition commentary at Black Knight and the flat recurring revenue target that you provided in the prepared remarks and we are curious where are the clients going and why are they leaving just given your compelling value proposition with both MSP and Encompass under the same book now?
Benjamin Jackson: Thanks, Craig. This is Ben. And in terms of attritions that we saw, a couple of our clients that have been subject to mergers and acquisitions. On the same token though, we see a benefit from it. And a couple of obvious examples would be JPMorgan buying First Republic. Those moves – those loans have moved and are moving on to MSP and then you’ll also have RoundPoint and Two Harbors that have come together and have consolidated their loans on MSP. So when you see that type of M&A activity on the servicing side, it’s been pretty much a net-net. If you look across our overall mortgage segment and just looking at the flat performance that we had last year in terms of recurring revenue and the guide Warren gave this year. Underneath that I think it’s important that we are very confident that based on the sales success and the low attrition that we have had that we are clearly gaining share against both proprietary systems, as well as third-party peers during this tremendous decline in market volumes which in particular is on the origination side of the house. And I’d be – it’s important to highlight as well that 2023 was a generational low in terms of mortgage transaction volumes. So we went back to data that we see as far back to 1991 to find a year that was as bad and it was actually 1991 that was even close and even that year was better. So to us, markets revert to a mean and if you look at the average from 1991 to 2023, the average is around 10 million loans, the mean was around 8, I think we put a conservative band around that 7 to 10 million loans given the market share gains that we’ve had. The significant customers that we are winning and implementing. We believe this platform is springloaded for growth as we turn the corner. 
Warren Gardiner: And Craig, I will make that too on the flat guidance for recurring revenue. So on the implementation side, just to reiterate what Ben said that we do have some good visibility into some of the MSP and Encompass sales that are coming online throughout the year and those are the products that are going to really move the needle.  On the erosion side, absent of course the one that I mentioned around M&A. Renewals on Encompass and customer engagement, that’s some of the stuff that pressures last year. We still expect some of that, but we’ve seen those trends start to stabilize and actually start to improve in the fourth quarter and into early this year. What I obviously don’t know it’s had visibility into is some of those things like an M&A activity related to our customers. But overall, we feel pretty good about that guide and Ben touched on this too. I think it’s important to really note, well, of course those recurring revenues are important. A lot of these products are also going to have a transaction component to it. And as he noted, we are coming off with the worst year for originations in a generation, but we’ve continue to add new customers, the current customer base is continue to add additional products and we’ve expanded that network. So that when those transactions do normalize, we are going to be really benefiting from that not only on the recurring side, but I think on the transaction side as well. And maybe to help frame that a little bit for you, I think if you were to see industry loan volumes in that $7 million to $10 million loan range, again with $10 million being the average over the last 30 years, we’d see a couple $100 million to nearly $0.5 billion of incremental transaction revenue and that would be a revenue that would be coming at really high incremental margin. So, look, we are focused on investing in the platform, expanding the network, so that we are best positioned for when this market normalizes. 
Operator: Thank you. Our next question comes from Simon Clinch of Redburn Atlantic. Simon, your line is open. Please go ahead. 
Simon Clinch : Thanks for taking my question. I was sort of interested in how you would frame, I guess, when we look at, could you give us a sense what the market origination market was like in the fourth quarter in terms of unit volume growth? And then ultimately, just how you are thinking about the potential product springloaded recovery? What are the sort of mortgage rate conditions you can – we need to see that kind of real inflection and acceleration starts compared futures with quota? Thanks.
Benjamin Jackson: Thanks, Simon. In terms of composite estimates that are out there, so if you look at the industry bodies that put out industry volume estimates, the market was approximately down 11%, what our modeling shows and if you take a composite of the industry analyst that’s above where it is. I think in terms of couple data points I can share as I said, there is no question in our mind that we are gaining share in terms of against both proprietary platforms and third-party platforms and a lot of those clients because they are significant in size or in the implementation phase. So the benefits we’ll get from recurring revenues will take some time as we implement those clients. The other benefit that we get when those clients are implemented is that those are new loans on our platform that will get per closed transaction fees on and those loans will also interact with hundreds of third-party service providers we have on our network. So when you are ordering a credit report for example, we get a fee for the efficiency that we provide on ordering those services on our networks. So those are additional transaction revenues that we would also benefit from in that case. The other thing that I’d say is that if you look at closed loans on our platform as we look at the closed loans that we saw on our platform were roughly mid-digit percentage points ahead of where the composite estimates are which further is evidence that we are gaining share and springloading this platform for when market volumes stabilize and Warren gave that range of couple hundred million to a half a billion in his comments just a minute ago. So I think that helps to frame when we say that the business is springloaded what that actually means.
Operator: Thank you. Our next question comes from Ken Worthington of JPMorgan. Ken, your line is open. Please proceed. 
Ken Worthington : Hi. Good morning. Thanks for taking the question. I wanted to follow-up on your comments on energy. Maybe first touch gas Hawaii has doubled over the last year. How much of the European gas market is on exchange at this point? And where does this go relative to sort of the OTC market? Where is that balance? And in oil, you called that the share shift to ICE and WTI that seems to coincide into some extent with the reconstitution of Brent, what is driving the share shift to ICE and TI? And how much further do you think there is to shift there? 
Benjamin Jackson: Hey, Ken. It’s Ben. Thanks for the question. So I’ll start on TTF. So, TTF, a lot of that volume is now on exchange and has transitioned over 10 plus years that we’ve seen that transition happening. I think the next step in the evolution of TTF that we see and I alluded to this in my prepared remarks is that, this is becoming and really has become the global benchmark for natural gas around the world. And it’s being more and more as a proxy for, when you are trading LNG and that’s seeing shifts around the world, which you can underestimate and you follow these markets very closely, you can underestimate the impact of the liberalization of natural gas has had to really creating a global natural gas market. It’s no longer subject to being secular pipeline infrastructure and storages. It can be freely transported around the world. And that is where we are seeing the growth in the TTF contracts and that’s why we constantly point out we are seeing new records, double-digit growth in terms of market participants, significant double-digit growth in terms of data subscriptions in TTF. TTF is up 100% in open interest year-over-year, 45% in ADV this year as more and more clients as they are looking at global issues around the movement of LNG out of the US going into Europe. They need to think about longer term implications of the White House recently announcing pauses on new LNG exports going out. US LNG heading east bound that goes through the Red Sea and Jeff alluded to it in his comments impacts that the attacks in the Red Sea it had on shipping there. US LNG going out of the Gulf going to Asia and when it’s going west bound has to go through the Panama Canal that same unbelievable drought conditions impacting that. These are all risks that people need to manage and it’s the TTF contract that we are now doing that with. So we see a lot of growth in that as that continues to evolve to be a global benchmark similar to what Brent is clearly today.  On WTI, really it goes to the a lot of the investments we have made in the innovation we’ve made in the oil market around that HOU contracts which is Midland WTI basis Houston, a physically delivered contract that we launched a couple of years back that’s been growing significantly, which is pricing WTI oil basis Houston, that’s going into the Atlantic basin and a lot of that being delivered into Europe. People that hedge and trade in those markets are trading those off the cornerstone of Brent are also using our HOU contract and then as a package that also trade WTI and for the efficiencies that they get trading in those Brent markets across those three contracts. We are seeing more and more of that trading volume moving to our exchange. So that’s on the second part of your question around WTI. That’s what we see is driving a lot of that growth in market share.
Operator: Thank you. Our next question comes from Ben Budish of Barclays. Ben, your line is open. Please go ahead.
Ben Budish : Hi, good morning and thanks for taking the question. I wanted to circle back to the Mortgage segment. Just on the cost side, Warren, it sounds like you accelerated some of the cost synergies in 2024. Is there anything more we can read into that in terms of the potentially the total bucket of synergies identified or the pacing of the additional synergies beyond what you see this year? And then, one other question that’s sort of come back along the same lines in terms of not so much cost synergies but perhaps things that ICE could do. Now that you and Black note that that Black Knight was unable to do while the merger was sort of pending. Any update in terms of additional cost reductions that are not quite true M&A synergies but just other things you may be able to do there? Thank you. 
Benjamin Jackson: Yeah, sure Ben. So, yeah, look, I think it’s a testament to the organization in the sense that we were very well prepared for this deal to close and we really hit the ground running. And so, not only is a testament to the ability for us to kind of get all of our ducks in a row, but also just flexing the muscle that I think we’ve shown over the last number of years that integrations like this it’s definitely a skill set of ours. So, I think to some extent it’s very much a testament to do those two things in terms of us being a little bit better than we initially spoke to when we announced the deal around our Year One synergies. So, look, it does certainly make us feel comfortable about getting to our target of $200 million by the end of year five having coming in as strongly as we are right out of the gates here. But as we move through this year, I think we will take the opportunity to see how that unfolds and if there is any clarity on that and if there is potential to increase those, we’ll certainly let you know. But right now, look we are five months into the same things are going very well and we are really just making progress towards those targets. 
Warren Gardiner: And Ben, I’ll pick up on that on other things that we are seeing. We’ve mentioned on prior calls things like our proprietary cloud being something that’s – that we are very proud of in terms of the scalability, the architecture, the operational resiliency, the cyber capabilities that we have there. So we see an opportunity over time to move some of the core technology platforms there to our proprietary cloud and we are planning around that right now and there is a lot of benefits our clients will get from that. Other things that we see is, we are enhancing the MSP platform. So that’s SaaS-based platform that MSP has. We are continuing to enhance this. Leveraging our experience in upgrading technology. The analogy we’ve used in the past, we have to upgrade technology while the cars are driving over the bridge. We have done this time and time again and once business at NYSE and with our ICE Data Services business. So leveraging our expertise is scalable, distributed architecture is all things that we are going to apply towards the enhancements of MSP and making it as efficient of an enhancement as possible. And then the last thing I’d say is, we’ve moved our Black Knight data team. That’s come over, in particular the product team over to our ICE Data Services division and the reason we did that is we think there is going to be two benefits from that. Number one is from the technology side, are there technology capabilities within ICE Data Services or Black Knight that both sides can take advantage of and the early returns are, yes there are. And then number two is our product innovation. There is a number of data sets within Black Knight that are highly applicable to the capital markets space and we believe that with our capital markets expertise within ICE Data Services, there is a lot of new product innovation that we can put out there that will generate benefits both short and medium term.
Operator: Thank you. Our next question comes from Brian Bedell of Deutsche Bank. Brian, your line is open. Please go ahead. 
Brian Bedell : Great. Thanks. Good morning, folks. Thanks for taking my question. Maybe just focus on the revenue synergy side in Mortgage tech. I think you said you’ve signed $30 million of the $125 million total so far in just five months and then the $125 million is the five year target that it seems like you are tracking. You are well ahead of that and then maybe just sort of correlating that with the commentary you had a couple of calls on the $300 million of revenue synergy opportunities that you’ve identified. Just trying to see if the $30 million is part of that $300 million? And I guess the broader question is, do you feel like you are also tracking ahead maybe well ahead on the revenue synergy side as you are on the expense review?
Warren Gardiner: Thanks, Brian. And you categorize that $300 million that I outlined before. And I think what we are seeing is that the clients one they appreciate and have had a lot of experience working with ICE and our test capabilities have running highly efficient utility type technology infrastructure for them. And that we do this in very efficient ways and we have deep relationships with all of these clients, which I think has really accelerated our ability to hit these revenue synergy targets. And getting ahead of that is quickly as we have only being five months after we’ve done the deal. If you look at the three categories I outlined there, there is one of cross-selling Encompass into roughly 40 of the top 100 MSP clients. And right out of the gates we had a big win there. We mentioned JPMorgan Chase in 2023 that we obviously have big relationships with across all of ICE. And then, in the fourth quarter we added M&T Bank very quickly after we closed. So those are some great examples and that that fit into that first category that take time to implement. The second category is cross-selling MSP into our ICE Mortgage Technology client base. We have thousands and thousands of lenders that are in the ICE Mortgage Technology client base that are leveraging various pieces of technology from us and right out of the gates we had some significant wins in the fourth quarter, Fifth Third Bank, another big super regional bank is in the process of moving to MSPs. That was a great win. I mentioned Black Hills Federal Credit Union in the fourth quarter. They are an ICE Mortgage Technology client as well as Mortgage Solutions of Colorado. And then in my prepared remarks, I also mentioned CapEd Credit Union. So they are an existing Encompass client, as well. So they are adding MSP seeing the addition of us pulling together this complete front to back network.  In the third category, this is expanding our network while cross-selling a lot of our technology platform, ancillary products and data solutions. And here we’ve also seen some great success. So we’ve cross sold a lot of our Black Knight data sets alongside our deal with Fifth Third Bank and MSP. We’ve included our data and document automation platform with the M&T Bank, deal that we closed in the fourth quarter. I think some other areas that we are just now, because we had do some near term integration work that we are just now positioned to start to cross-sell is another important thing to highlight as we – one of the first things we integrated is we took our Simplifile platform and the incredible network that Simplifile has with all of the local counties around the US and we’ve embedded that network into the, really the back end workflow of MSP, our servicing platform and we are now utilizing that to automate lean releases. So when a loan is paid off on the MSP platform, we can leverage the Simplifile rails to make it highly efficient and effective and very quick to actually effect that lean release which will be additional transaction revenue for us.  I mentioned in my prepared remarks that we’ve integrated our data and document automation platform into MSP. So this is on the front end of the MSP process that we now have our first real integration between Encompass and MSP where we are taking that digital loan file as it’s compiled and can map that now directly into MSP and automate the onboarding of loans. And then we’ve also completed a significant amount of the integration work needed for our proprietary data sets such as closing fees valuations tax and flood and now have the ability to cross-sell all of these data sets that we’ve not had historically a proprietary solution on our Encompass platform. So we can now cross sell that to our client base. So we’ve had a lot of great wins. Those are lot of great successes and update on that, but also some things you will be hearing about more in the future as we are now able to start to distribute these.
Operator: Thank you. Our next question comes from Dan Fannon of Jefferies. Dan, your line is open. Please go ahead. 
Dan Fannon : Thanks. Good morning. Warren, just a question on the balance sheet. I think you said $700 million debt paydown in quarter-over-quarter. That’s probably a bit elevated. But what is a reasonable kind of quarterly pace and as you think about that progress, also do you anticipate being able to buy back stock as you kind of get towards the latter part of this year or early next year? What’s the reasonable timeframe to think about the capital return story improving? 
Warren Gardiner: Sure. Thanks, Dan. So I think, look, we don’t give sort of forward free cash flow guidance. But we certainly did just report a strong year at $3.2 billion of free cash flow with only about a quarter or so of Black Knight in there. So, that coupled with growth. I think it’s fair to assume that’ll be better than that in 2024 at the end – as we said, at the moment, our plan is to return the vast majority of that not return I should say, our plan is to use the vast majority of that to pay down the outstanding debt that’s out there today. And so, I think is we are thinking about that in the go forward here. I still think we are on track here as we’ve talked about where we thought for that paydown schedule being sometime in 2025, but depending on forms this could be a little bit earlier in that, as well. So, we are going to have to just sort of see how the year plays out ultimately, but as I said, very much on track to what we thought we’d be and where we would be in terms of our deleveraging phase.
Operator: Thank you. Our next question comes from Kyle Voigt of KBW. Kyle, your line is open. Please proceed.
Kyle Voigt : Hi, good morning. So last year in May, you increased futures transaction fees for the first time in many years. Some of your competitors have announced pricing changes again for 2024. So I just wanted to circle back on how those pricing changes in May were digested by the market. And can you provide some updated thoughts on how you are thinking about pricing across the futures complex at this point and whether anything is planned for 2024?
Warren Gardiner: Sure. Kyle, it’s Warren. So, as we said in the past, back in May, you are right, we did increased a couple of contracts across our oil business that something we hadn’t done in a number of years and I’d say it went pretty well. I think you saw the impact – we see to some extent as we move through the year and obviously the volumes were record levels and continue to be so in January of this year, as well. So I would say that that was – that went well. As we’ve said to you all in the past, our philosophy is to really look across the platform and look for areas where we have created value and where we can then go capture value. And so we do that every year and we think about it in different ways or utilize it in different ways and as we think about this year what we’ve done within the futures business, we did make some adjustments to the exchange data fees. We’ve done some price adjustments around some of the energy contracts outside of our oil business and then we also made some adjustments on collateral fees at the clearing house which in aggregate actually we are pretty similar to what the impact would have been or was I should say from the changes we made to the oil contracts last year. So, again, we’ve done a similar exercise but executed it in somewhat of a different way and I think that’s part of the opportunity we have going forward as we think about the futures business and ICE probably in terms from a pricing strategy standpoint.
Operator: Thank you. This is all the time we have for questions today. So hand back over to Jeff Sprecher, Chair and CEO for any closing remarks.
Jeffrey Sprecher: Well, thank you, Charlie for managing the call for us this morning. Before we leave, I wanted to mention that every quarter for the last ten years before and after these earnings announcements, we receive a call and input from a shareholder named Jack Willins. And we didn’t hear from Jack this week. So we did some outreach and learned that he had recently passed at age 88 and I just wanted to acknowledge the fact that his family and friends and colleagues that we also miss hearing from him.  And we are going to go back to work after this call to continue to build this all weather business model and that’s what he would have wanted us to do. And so today, we will do it in his honor. Thank you.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may all disconnect your lines.